Operator: Good day, ladies and gentlemen, and welcome to your Pressure BioSciences investor conference call. [Operator Instructions] As a reminder, today's call is being recorded.
 At this time, it is my pleasure to turn the floor over to Richard Schumacher, President and CEO. Sir, the floor is yours. 
Richard Schumacher: Thank you, Melinda, and thanks, everybody, for joining us. And first of all, we certainly hope everyone has been staying safe and everybody is weathering these unpredictable times as best as possible for sure. So thanks for coming and taking some time today. 
 Before we start, I need to read a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which such statements are based.
 So the agenda today is first of all, I want to let everybody know that I'm very pleased to welcome a special guest today on the call, Mr. Jim Morrison. Jim, welcome. 
Jim Morrison;In-Coming CEO;Availa Bio: Thanks, Ric. Thank you. 
Richard Schumacher: So -- you're very welcome, and thanks for taking the time to join us. 
 Jim, as many of you know, is the CEO Designate of Availa Bio. So very briefly, I just want to summarize what's going on here. Following the mergers that we've talked about of SkinScience Labs, Cannaworx, Inc. and Pressure BioSciences, the new company will change its name to Availa Bio, so that PBI, Cannaworx and SkinScience Labs will all operate as 3 separate, highly synergistic divisions under the Availa Bio umbrella. The new parent, Availa Bio, will be publicly traded as a QB company on the OTC marketplace. And then Availa will have an opening IP portfolio of over 30 issued and many more pending patents. We'll have an existing worldwide base of hundreds of corporate and thousands of retail customers and existing revenue from multiple products that are already on the market from the 3 companies. 
 Availa Bio will be led by Jim, who I've just introduced. Jim is the former President of L'Oréal, StarShop and Graham Webb. Jim is also renowned for his long history in working with celebrities to launch beauty and personal care lines, including Kylie Jenner, Britney Spears, Christie Brinkley and Rob Lowe. And there were many others, we just can't fit them all on here. 
 Mr. Morrison is widely regarded as one of the top brand strategists in the personal care space worldwide. So we are very excited that Jim has -- we went to Jim as a potential investor, and we came out with a guy that we think can lead this company to where we really believe it can go. So we're very excited. 
 Again, Jim, thanks for joining us. 
Jim Morrison;In-Coming CEO;Availa Bio: A pleasure. 
Richard Schumacher: Now we will have Jim -- Jim's going to stay on, and we're going to go through the basics pretty quickly here, and then we're going to open it up for Q&A. 
 And Jim wore his body armor, so he's fine. And he's going to stick around and take questions. We know there's -- the main purpose of this call is to get Jim on the phone and to have us answer whatever questions you have about the pending mergers because there's -- it's a bit complicated. But when the dust settles and Availa Bio is born, which Jim will run, it's going to be a terrific time for, we believe, for all shareholders that are in all 3 companies right now, in particular -- particularly, in the publicly-traded company right now, Pressure Bio. 
 So we're going to start. I'm going to discuss very briefly the Q1 financials, and I'm going to go over some of the accomplishments of the quarter, most of them related to what we're talking about here on the merger. And then we're going to get into a question-and-answer period. 
 So starting right off, you don't hear me say this often and many of you have been on the call multiple times. We've had consistently, I think, it's 13 of the last 15 quarters, if I recall, have all beaten the previous year --- or 14 of the last 15 have all beaten the previous year's quarter. We were on quite a roll, but that's come to an end. We had a very disappointing quarter. 
 I will remind everybody that with Pressure Bio, most of our sales come in the third month of each quarter. Third month was March, end of the first quarter. We started feeling some things slipping away in the last 10 days or so of February, and then they just totally slipped away in the month of March. 
 We're not the lone ranger here. I've spoken to a lot of CEOs from a lot of other publicly-traded companies, and most of them are running the same problem we had, if not worse. So that we really -- the COVID pandemic really affected us in the third month in March. We had -- we -- actually I was looking at middle of February thinking we might have a record quarter, and we ended up having a quarter in which our sales of $253,000 or so were about 50% of last year's $510,000.
 Most of this came from our services. Our instruments were down from $138,000 down to $95,000. We did lose 3 or 4 sales at the end. Our consumables stayed about flat, $62,000 last year to $56,000 this year. And that's because other than our instruments and services, which tend to come in the last month of the quarter, our consumables are often -- we can start off the quarter with an order that very first day because this is coming from our existing customer base. 
 So our consumables stayed pretty flat. They went down slightly 5% or 6%, but stayed about flat. But the big hit was in our services, our BaroFold services and also in our UST services. There's just nobody on the other end of the phone, and nobody wanted to commit any money. And so our BaroFold went from $151,000 to $0, and our UST services went from $86,000 to about $10,000. 
 So we think that, that -- we feel very strongly that these services are going to pick up. We've already seen them pick up. We've already booked some services in the second quarter, mostly in June. But starting a couple of weeks ago, we started seeing some things picking up, so that we think the second quarter is still going to be a tough quarter, but certainly we think some of the services are going to start coming back. 
 Our operating loss for the first quarter was almost identical, virtually unchanged from last year's first quarter, $1.396 million versus $1.395 million. And the loss per share, which was at $2.01 last year, went down to $1.62 obviously because we've had some more shares come into the float. 
 If I -- if we look at the -- and of course during the Q&A, if somebody would like to ask some questions, but I don't -- or maybe once before I've said I felt we had a very disappointing quarter, and it's hard to say that, but we did. But we'll get through this, and when we look at the accomplishments of the quarter, a lot of these accomplishments relate to the reason that Jim is here and on the phone. And -- but I certainly want go through some of these. The list was so long. Although the sales are disappointing, the accomplishments of our team, of your team, were really extraordinary for the first quarter when you look at everything that was going on, particularly during the month of March. 
 We put out press releases on a record number of journal articles that cited PCT, pressure cycling, and even BaroFold as accomplishments, that they were being used to enable better understanding or better detection of certain markers in certain diseases. We had over 20 journal articles from 2019 that we talked about in the first quarter of 2020 in a press release. Our Ultra Shear Technology was featured in several write-ups that got out. 
 But then when we get into February and March, we talked about the acquisition of Cannaworx and their acquisition, the SkinScience Labs. Essentially, all 3 companies will merge together. We talked about some of the products of Cannaworx including the immune booster that is going to be released soon. We also talked about the 100 and -- over 100 products from SkinScience Labs. And Dr. Denese, who's just such an accomplished person in the skin science space for a number of years, she's one of the pioneers in anti-aging creams and many other serums and their existing base of customers and sales, and that these would all be merged together. 
 We talked about a $3.5 million order for the FDA-registered hand sanitizer, which is a new product that's coming out from SkinScience Lab. 
 And we also talked just recently about signing a deal. Pressure Bio signed a deal with Leica Microsystems. Leica is a 103-year-old microscope company, one of the top 2 in the world, most people think. And Leica has a newfangled technology that they use called laser microdissection where they put a laser in the microscope and they're able to look at biopsy tissues and shoot the laser to exactly the cell and the part of the cell that they want to cut out of the tissue. 
 And Dr. Conrads, a world-acclaimed scientist from Virginia from Inova Health Science Center, where he has developed a workflow where it's dropped into our tube, our microtube, and it's processed by pressure cycling technology. And he's published on this and said he's getting better results using this method than he's gotten before. And so he went to Leica. We didn't. He went to Leica and said, "You guys ought to team up." Leica came back to us, and we worked on it, and we announced this agreement on June 20 that we signed a co-marketing, a worldwide co-marketing deal, where we will both co-market each other's products because they really fit hand in glove. And they're really going to -- they're really an innovative tumor processing workflow that he's developed. And I can tell you that we're already working with some of the sales folks and marketing folks at Leica, very exciting to move ahead. 
 So a number of accomplishments, a number of things on our plate that kept us busy during the first quarter and the second quarter. And so at this point, I'd like to just let you guys know, we're going to open it up now. We're going to open it up for questions. 
 So Melinda, if you could come back, and we can start taking the questions. 
Operator: [Operator Instructions] And our first question comes from Alan Stone of WallStreet Research. 
Alan Stone: Haven't heard one of your calls in a while, and I'm glad you're able to get through COVID without catching it. 
Richard Schumacher: Did you miss my voice, Alan? 
Alan Stone: I did. I did, actually. My nephew, Kevin, who works at BlackRock, came down with COVID last week. But -- and congratulations to bringing in someone like Jim Morrison's credentials. I got to figure out why he can hang around with Kylie Jenner and was joining PB. 
 But we'd like to know a little bit more about how the merger works mechanically, what's involved in making that happen and so forth in the restructuring. 
Richard Schumacher: Well, I'll be happy to turn it over to Jim and let him know why he'd like to hang out with us. 
Jim Morrison;In-Coming CEO;Availa Bio: Ric, do you want to start by maybe mentioning the extension? 
Richard Schumacher: I can do that. I'm happy to announce an 8-K is being filed as I say this, that we've agreed on an extension. As pretty much everybody on the phone probably knows, we agreed on an LOI, then we made it a binding LOI to merge the 3 companies and that we were confident at the time that we could get this done by June 30. And plus that date, we wanted -- it was going to push us. 
 We didn't make it by June 30, so we've worked out an agreement to extend this to the end of July. And so an 8-K, it has some extensions after that, if needed. But we extended it to the end of July, and that 8-K is being filed, as I say, as we speak. Anything else, Alan? 
Alan Stone: Yes. So how is -- just in laymen's terms, how is the merger going to work with the other companies and the share exchange ratios, that sort of thing? 
Richard Schumacher: Well, we have not announced any of the terms of the deal, that -- we will, of course, at the right time announce terms of the deal. We haven't announced any terms of the deal. 
 We've announced that we are going to acquire Cannaworx, and Cannaworx has announced that they're going to acquire SkinScience Labs. And so basically when the dust settles, there'll be 3 of us all together under Pressure BioSciences. We will change our name to Availa Bio. We will then spin out the assets of Pressure Bio into a separate entity, let's just call it Pressure BioSciences. So we'll be a private-held company or division of Availa, as will Cannaworx, as will SkinScience. 
 And all 3 of us will report into Availa, which used to be Pressure Bio, which will assume the public stature of being a QB, a publicly-traded company. And it will be run officially by Jim as soon as we do this. And this will be done immediately after the combination of the 3 companies, which we hope will be done by on or before July 31. 
Jim Morrison;In-Coming CEO;Availa Bio: And Alan, just let me add. It's Jim. First of all, thank you for your well wishes. And Ric and I have both been knocking on wood that we've been perfectly healthy through this period as we navigated these crazy waters. 
 What will also happen though in terms of the merger is that we'll be adding 2 companies to, basically, this merged unit. One of which already has revenue and EBITDA. The other one is basically at a start-up position but has spent a considerable amount of time and paid-in capital putting a portfolio of products together. And that company is called Cannaworx. 
 So once we do hit the ground running, we've got a really strong ongoing concern that we've got extremely high hopes for. 
Alan Stone: And the SkinScience is the one that has positive EBITDA? 
Jim Morrison;In-Coming CEO;Availa Bio: Yes. So SkinScience has predominantly been on QVC for 18 years, and in 18 years has actually shipped QVC over $500 million of product. So it's been a huge success on QVC, always privately held. One shareholder, Dr. Adrienne Denese, and we see a tremendous amount of synergy with -- actually with all of the technologies of Pressure Bio, especially the UST technology. And we've actually been working hand in hand with Ric and his science team to start utilizing UST technology on some of Dr. Denese's current products. So we haven't spent this time sitting on our hands. We're looking forward to getting the merger completed. 
 As Ric said, we've got -- we just agreed to an extension, working hard to get our audits done on this side and believe we can get this thing done shortly. 
Alan Stone: And are there conditions of raising a certain amount of capital? Or how is that going to work? 
Jim Morrison;In-Coming CEO;Availa Bio: How is [indiscernible] going to work? 
Richard Schumacher: We haven't given -- obviously, we need capital but we have not announced what that certain amount of capital is, Alan. So yes, we need capital to run the company. We -- last thing you guys want as shareholders is to have us undercapitalized, especially on a company that's got 3 divisions that are all selling product. But we haven't announced how much money that is going to be raised. 
 Melinda, any other questions? Hello, Melinda, are you there? Jim, are you there? 
 [Technical Difficulty] 
Jim Morrison;In-Coming CEO;Availa Bio: I am here, if you can hear me. 
Richard Schumacher: I hear you fine. But Melinda, where are you?
 So I got a text question here from one of the investors. If you would like to take this one. 
 They asked about the hand sanitizer order and wanted to know what we can tell them about this new product in terms of sales and what other detail. Can you take that, please, Jim? 
Jim Morrison;In-Coming CEO;Availa Bio: Sure. Good question. Yes. So -- and I'm hoping we've still got the original crew on here. 
 One of the things that did happen as the whole world was experiencing this craziness we're in with COVID was because of Dr. Denese's background and reputation, she naturally started to get approached by a lot of people asking if she either had or could develop a hand sanitizer. And so obviously her big partner company, QVC, was one of those. 
 And what she's actually done is developed 3 different hand sanitizers. One of them is a 75% alcohol-based. It's an alcohol gel that we will be selling on a 16-ounce size on QVC. And then she also simultaneously developed 2 non-alcohol hand sanitizers. One of them is a foam and the other one is actually a moisturizing hand cream. And in both of those cases, we utilize a technology, not alcohol, that enables the effect, the antibacterial effect to last on your hands for 4 hours after you use it. 
 So she's going to go on QVC with those 3 products. But we are also presenting variations of the same 3 products to 2 national retailers, one of which we've got a high level of interest for. And so that could be one of Ric's press releases as we closed that deal. 
 But she -- but the QVC plan has her going on air with these products throughout the second half of this year. So it's brand new. What we hope is ongoing business for us that we're really excited about. 
Richard Schumacher: So I was told by -- they pulled me off and said that they're going to try to fix the problem. They're having a problem. They're going to try to fix it.
 I have another question. These are people that -- my cell number is (508) 801-1031. I give that out on my business card to everyone, (508) 801-1031. So please feel free to text me. 
 I got another question, one second please. From [ Mike Campbell ], an investor. How will the PBIO stock be treated? And will we move up to the NASDAQ or New York Stock Exchange? So... 
Jim Morrison;In-Coming CEO;Availa Bio: I like Mike's attitude already. 
Richard Schumacher: Mike's -- I know Mike. Mike's been a long time investor. Mike was one of the early investors in my first company, Boston Biomedica, and he was one of the early investors in the private placement here. He's been a very strong proponent of the company. 
 So thanks, Mike, for texting. So I'm happy to take it. Or Jim, if you wanted to take it, you go on. 
Jim Morrison;In-Coming CEO;Availa Bio: No. Go ahead, Ric, but I like those. I like that future thinking. 
Richard Schumacher: So Mike, how will the stock be treated? Again, we will acquire, as a publicly-traded company, we will acquire Cannaworx and SkinScience. Then basically we will all merge together, and then we will change the name and the stock symbol to Availa Bio. 
 And I don't know, Jim, if we have a stock symbol yet, but -- I think maybe we do. I don't think I'd give it to anybody, but I think we've got one reserved. And so everybody that is a shareholder in Pressure Bio will become a shareholder in Availa Bio. And normally when this happens is you do not have to turn in your stock. It's really a pain in the butt to do that. But we keep records, and then -- but we'll give total instructions to everybody once this closes in the next month or next few weeks or whatever it is. We'll give clear instructions to everybody on how this will happen. And so everyone will become a stockholder in Availa Bio. Your stock will now be -- you'll be owning a part of a company that is all 3 of these companies. 
 And getting off the OTC, you guys know me well enough. We've tried it once. I'm very excited about the ability of putting these companies together. And once they're together, my goal, and I'll turn it over to Jim, but I know I would certainly hope that we have the wherewithal to move this company up to a true exchange sometime after the merger. Jim? 
Jim Morrison;In-Coming CEO;Availa Bio: Yes. I mean, my sentiments exactly, Ric. So exactly as Ric described the mechanics, once the newly formed company Availa Bio has sort of gotten on fairly solid ground, our intention is to try to uplist this company to NASDAQ. 
Operator: And my apologies. Can you hear me now? 
Richard Schumacher: Yes. 
Jim Morrison;In-Coming CEO;Availa Bio: We can. 
Operator: Okay. I do apologize for that technical difficulty. 
 Our next question comes from private investor [ Richard Bowerstock ]. [Operator Instructions]
 And we'll go ahead and go to [ Richard Bowerstock ]. 
Unknown Attendee: Yes, I'd just ask questions about what you're looking forward towards future revenues? And how you're going to bring public the skin care products to the retail side? 
Richard Schumacher: That one's yours. 
Jim Morrison;In-Coming CEO;Availa Bio: Yes, Ric, let me take it. So Richard, good question. So one of the things that, besides the use of the UST technology that we will do, is our current company has a very strong relationship with a very well-known leading academic institution in the United States that we're going to partner with on some groundbreaking research in the skincare field. 
 In 2021, we are going to aggressively launch new products, a much more aggressive campaign than we've ever had before in this company. But it will be built around technology. A big chunk of it will be the UST technology that Ric already has and that have started to commercialize. And the other part will be this other technology that in the coming months, we'll release more information about it. But I can tell you from somebody with a huge amount of experience, they -- we believe the UST technology is going to be industry changing, and the second technology is just as breakthrough. 
 So Richard, we've got very, very high hopes. I'm not going to talk exact numbers in revenue, but we will dramatically increase our revenue base on new product flow. 
Richard Schumacher: The question was also akin in, will this increase be more retail? Or will it remain something like QVC? 
Jim Morrison;In-Coming CEO;Availa Bio: Well, I mean first of all, we consider QVC to be retail. But one of the big parts of my mantra going forward is we want to dramatically increase the digital marketing ability and focus of this company. We would like to have a scenario where ultimately the majority of our sales are done online, both on the Dr. Denese SkinScience side and on the Cannaworx side. So for example, everything that we're doing going forward from a new product standpoint, we will support with digital marketing campaigns that will drive sales to our website. 
 And I should go on to say, if I didn't answer Richard's question, this is with the strong partnership and knowledge of QVC. We are very plugged into upper management there, and we've got a great relationship with them. So this will be with their blessing and with their synergy. 
Richard Schumacher: Great. Melinda, you still there, I hope? 
Operator: I am. Next, we go to [ Tony Fitzgerald ], private investor. 
 And apologies here. Let me -- there's Tony's line for you. 
Unknown Attendee: Ric, it's Tony. Does this transaction require shareholder approval? 
Richard Schumacher: No. 
Unknown Attendee: How come? Why is that? 
Richard Schumacher: I'll put you in touch with our lawyers. How is that? But no. I can't -- I won't answer that because I'll mess it up, Tony. I played lawyer once before and I got in trouble, so I won't. 
 But no, we're not looking for shareholder approval on this. 
Operator: And Mr. Schumacher, that is all the signals we have. [Operator Instructions] If you'd like to continue, I do have your next question. 
Richard Schumacher: If you have another question, sure. Do you have another one in the queue? 
Operator: It looks like we've got -- our next question is from [ Chuck Thompson ], who's a private investor. 
Unknown Attendee: You know I'm a big fan. Ric, is it too early from a capital structure perspective to know what the conversion ratios might be for current Pressure Bio shareholders in terms of their Availa Bio holding? 
Richard Schumacher: It is. It is too early. And again, we're constrained by what's been publicly disclosed. We have not disclosed -- we obviously will disclose the terms of the deal at some point. We haven't disclosed to date. 
 But as you know, Chuck, I've done my best over the years to look after the PBIO shareholders. And I've done my best here, and I think that this is a -- just an incredible opportunity. I think it's a wonderful opportunity to have the potential to bring some very good value to the company. 
 And I'm about as excited about this as I've been excited about anything since I really realized how amazing Ultra Shear Technology was. Because I've looked at -- people have said, "But it's not really in your business." I said, "You know, our business is changing." Ultra Shear is a technology that goes into so many different applications. And both these companies, in my opinion, have products that can be improved by Ultra Shear. Jim's already mentioned that. I'm now mentioning it. 
 So no, I think this is right in our bailiwick. And I'm very excited about the potential merger and very excited about getting this done. Because I think you, as a long time shareholder, and Mike and Alan and many others who have been long time shareholders, guys, we believe this is going to be very good for our shareholders. 
Jim Morrison;In-Coming CEO;Availa Bio: Can I just -- I was going to say, if Chuck is still on, I just want to add something to that. 
Unknown Attendee: I'm still here, Jim. 
Jim Morrison;In-Coming CEO;Availa Bio: Chuck, good to meet you. 
Unknown Attendee: You too. 
Jim Morrison;In-Coming CEO;Availa Bio: I've been kind of concentrating on the current business, the skin care and the Cannaworx business. But one of the things that I'm chomping at the bit to do is over the last 15 or 20 years in my life, I have dealt with, I'm going to tell you, 200 contract manufacturers in the personal care space in North America and I'll tell you, Chuck, every single one of those manufacturers should buy UST. 
 It will be a huge addition to how they service their customers. It will give them a technology that will be a differentiator for them. So my focus is really to roll up my sleeves and really get involved with what Pressure Bio has got to offer and dramatically ramp up revenue. 
Unknown Attendee: Well, that's great to hear, Jim. And we're very pleased and honored to have you on board. So welcome. 
Jim Morrison;In-Coming CEO;Availa Bio: I'm looking forward to working with you, Chuck. 
Unknown Attendee: We are, too. 
Operator: And our next question comes from Gary Zwetchkenbaum with Plum Tree Consulting. 
Gary Zwetchkenbaum;Plum Tree Consulting LLC: And Jim, it's a pleasure to finally get to talk with you. Following the skin care market and Cannaworx, you mentioned that the majority of the products obviously are QVC related, which is a phenomenal business. 
 But let's talk about the technology that you get with Pressure Bio and the skin care products. Are you going to have some CBD oil-infused products? And can we talk a little bit about the new products? And you mentioned online, there's also that order on the hand sanitizer was to one company, right, $3.5 million? Can you imagine how many other companies would want -- and that was a 4-, 5-month supply.
 So I'd like to hear more about the actual products and CBD-related and the technology. 
Jim Morrison;In-Coming CEO;Availa Bio: Really good questions, Gary. So if you think about the fact that Dr. Denese has had this 18-year run at QVC; sold over $0.5 billion worth of products to them during that time; and has had a very, I'm going to call it, mild stream of new products. We do have a huge portfolio. There's over 100 SKUs. But as everybody on this call probably realizes, 20 of those SKUs make up most of the sales.
 What we're currently doing, Gary, is we're literally taking those products apart. We're taking the component pieces of them. And by that, I mean the actives that really get in and make a difference in your skin, the carriers, all of the substances that those actives are in. And we're running them through UST right now. So the plan is as we get into the fourth quarter of this year and certainly the first and second quarter of next year, we're going to come out with the new and improved versions of these already successful products with the belief that these will be much more bioavailable to the client, penetrate the skin deeper, penetrate the skin faster, absorb quicker, and all these different points of difference that are going to be a dream to a marketing guy like myself. 
 And so that's just on the products that we're doing with QVC. We then have all kinds of plans for other verticals using UST. We'd love to not only increase our Dr. Denese business on Amazon, which by the way, it's not a significant business today. It's about $1 million, $1.2 million a year. Dramatically increase that, but also, we want to develop new product lines for Amazon using UST technology. 
Gary Zwetchkenbaum;Plum Tree Consulting LLC: Can we talk a little about international? When it comes to skin care products, the Asian market, the average Asian women, Japan, China, Korea, spend 3 or 4x what they do in the U.S. market. Are there any plans on the international side? 
Jim Morrison;In-Coming CEO;Availa Bio: Another great question, Gary, because literally with the Chinese market, the Korean market, even the Japanese market still, there's still a big burning desire for American products and American technology. We're currently in conversations for a strategic partner in China. We've had a conversation with a group in Singapore. And we are absolutely looking to extend our reach to Asia. And Gary, today, we do not sell one penny to Asia. 
Gary Zwetchkenbaum;Plum Tree Consulting LLC: All right. How long do you think it would take to start selling those products? Because that's an exciting -- look at the ramp-up of revenue there, that market is humongous. 
Jim Morrison;In-Coming CEO;Availa Bio: No, you're absolutely right. I don't want to overpromise on this, but I would say that we've got -- we've had strong enough conversations to think that we could start selling our first products in China by the fourth quarter of this year. 
Gary Zwetchkenbaum;Plum Tree Consulting LLC: That's fantastic. So get aboard as quick as you can, and let's get that deal done by July 31, so I can tell my other clients. 
Jim Morrison;In-Coming CEO;Availa Bio: Yes, sir. All right, Gary. 
Gary Zwetchkenbaum;Plum Tree Consulting LLC: Congratulations. 
Jim Morrison;In-Coming CEO;Availa Bio: Thank you. 
Operator: And Mr. Schumacher, that was our final signal. 
Richard Schumacher: So before we move on, I want to make sure so -- like anybody in my position should. So I texted our lawyer who said that primarily it's the target that has to get shareholder approval. We're not the target. We're doing the acquiring. So the general feeling is since we're doing the acquiring, we will not need it. 
 But they did say that I should just mention to everybody that it isn't cut and dry. It isn't 100%. I made it sound like it might be 100%, and I shouldn't. 
 But that's the reason I answered it for [ Tony Fitzgerald ], for your question, is that as the acquirer acquiring these 2 companies, we generally would not need to have shareholder approval because we're not the target. We're the acquirer. 
 But let's just say that we're going to continue to look at this. And if anything changes, we'll let everybody know. So I want to clear that up. 
Jim Morrison;In-Coming CEO;Availa Bio: Ric, anything else -- can I just say maybe something in closing? 
Richard Schumacher: I got one more text. Let me see if we get it. No. No. They said, "Forget my question. Everything was answered." 
 So please, Jim, I want to thank you on behalf -- as a shareholder and founder of the company and shareholder, taking the time to come on. It's very important. We have a tremendous shareholder base. We have several thousand investors and many of them, many of them have been with the company for years. Some of them have been with the company when we were Boston Biomedica 15 years ago. You heard some of them on the phone. They're very, very good supporters. 
 So thank you, from everybody, for coming on, and hopefully giving everybody some good comfort that you're a real guy and that you're very excited as I can hear about this. And I'm looking forward to getting this thing done as you are. 
 So please, take the floor. 
Jim Morrison;In-Coming CEO;Availa Bio: Yes, Ric, I wanted to thank you. I mean I think one of the things that we probably didn't tell the shareholders was the fact that you did a masterful job navigating the company through this COVID situation, both from a personnel standpoint and a financial standpoint. Really did a great job mastering and understanding what was available from the government for help, have maximized it and did a great thing for the company. 
 And so I'm looking forward to working with someone like Ric. This is a great opportunity. I can speak on the behalf of my 2 partners Dr. Bobby Ghalili, the founder of Cannaworx; and Dr. Adrienne Denese, obviously the owner and majority shareholder of SkinScience Labs. 
 We are really bullish about Pressure BioSciences and about what we can do with this technology and the upside. We look at this as a huge, huge company over -- by the way, the short term and the long term. And so we're really looking forward to getting this merger done and hitting the ground running with Ric and his team. 
Richard Schumacher: Jim, thank you. And when you said that, I realize that I think it's important to let everybody know that we did receive a PPP loan. We expect to be able to get the whole thing forgiven. We got in about $367,000, if I recall. And it was absolutely terrific to help us with our -- we did not shut down. I'm not sure everybody knows that. We didn't shut down. We needed to stay open. We have -- we have 250 customers around the world, 350 instruments. We know some of these people are using our instruments for COVID, but I think just as important, they're using it for cancer and heart disease and stroke. And some of them were continuing with their work. And we were, as we said, our consumable orders have remained strong. 
 So we stayed open. We didn't furlough anyone, we didn't let anyone go. We stayed open as a company, and we are able to do that partly because of money coming in from investors and from sales, and also because of the government and the PPP program. 
 So it's -- in our case, it was extremely well needed and used, and used properly, and I fully expect that 100% of that will -- that loan will be forgiven. 
Jim Morrison;In-Coming CEO;Availa Bio: And Ric, you need to take the credit for that. Because I can tell you day after day, after day, during that period in March, he was hounding -- hounding the banking representatives that he's going through to get this application pushed through. And he finally did. 
Richard Schumacher: Thank you. Thank you. Yes, we did. Luckily, I knew the bank because they let you go to the local banks. I knew the bank. We did hound them every day, and we were told that we were one of the very first to get approved, and it came in extremely handy. And so thank you for the nice comments. 
 And thank you, everybody, for joining us. Please stay safe. That's all we can say. It's -- I know some of the people on the phone have had family members and friends, I've had several friends of mine pass away from COVID. So please stay safe. There's nothing more important than your health and staying safe. And we're going to do the best we can to get ourselves through this pandemic, as you hear we are. 
 And it may have slowed us down a little bit, Jim, but it certainly hasn't taken us off the tracks. We're going full steam ahead. And this extension that we just announced to the end of July with a couple after that if needed. Hopefully, we don't need those. We'll get this done. I appreciate all your help in getting the work started with all of the audits and everything like that. 
 So I appreciate everything you've been doing. 
Jim Morrison;In-Coming CEO;Availa Bio: Yes. My pleasure, Ric. Looking forward to getting going and working with your shareholders. 
Richard Schumacher: Thanks, everybody. Everybody, stay safe. We'll talk to you not too long from now. Second quarter will be middle of August. Thank you. 
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.